Operator: Ladies andgentlemen, thank you for standing by. Welcome to the E.W. Scripps Company thirdquarter earnings call. (Operator Instructions). I would now like to introduceyour host for today's presentation, Mr. Tim Stautberg, Vice President ofInvestor Relations.
TimothyStautberg: Thank you. Goodmorning, all. Thanks for joining us. We'll start the conference call today withcomments from Ken Lowe, our President and CEO and Joe NeCastro, our ExecutiveVice President and Chief Financial Officer. Our preparedremarks should take about 20 minutes. We know you have busy schedules so we'llmake sure we're done by the top of the hour. Before we begin, let me introducethe other members of our senior management team who are here with us on thecall. Joining us are RichardBoehne, Chief Operating Officer; John Lansing, President of Scripps Networks;Mark Contreras, Senior Vice President of Newspapers, William Peterson, SeniorVice President of our TV Station Group; Lori Hickok, Vice President andController, and A.B. Cruz, our General Counsel. Let me remind youif you prefer to listen in on the web, you can go to scripps.com and click onthe shareholders button and find the link at the top of the page. An audioarchive will be available on scripps.com later today and we'll leave it therefor a few weeks so you can access it at your convenience. Our discussionthis morning will contain certain forward-looking statements and actual resultsmay differ from those predicted. Some of the factors which may cause results todiffer are set forth in our publicly filed documents including our 2006 Form10-K. Now, here's Ken.
Kenneth Lowe: Okay. Thank you,Tim. Good morning everyone. As always, we appreciate you joining us and ofcourse, your continued interest in the E.W. Scripps Company. This has been amomentous month for Scripps and its shareholders to say the least. Last week,we announced that our board of directors has unanimously authorized managementto pursue a separation of the company into two publicly traded enterprises. One, focused on national lifestyle mediabusinesses and the other, on local news information and entertainmentfranchises. And today, wereported improved consolidated results for the third quarter led by very strongdouble-digit revenue and segment profit growth at our Scripps Networks operatingdivision. During the thirdquarter, Scripps Networks accounted for nearly half of the company'sconsolidated revenue and 70% of segment profits. The superb financialperformance of Scripps Networks drove consolidated growth and looking ahead, weanticipate that strong performance at our national lifestyle brands willcontinue to carry the day for the balance of the year. The success we'rehaving at Scripps Networks is tied directly to the popularity of our flagshipnetworks, HGTV and Food Network and the momentum we're creating at our newerbrands, which include the DIY Network, the Fine Living TV Network and GreatAmerican Country. At HGTV, the newsis all good. Now, available in nearly 96 million homes, HGTV delivered a recordof 1.1 rating for the third quarter and has the average household audience forthe three month period climbed to one million, which by the way, is also arecord. September not onlymarked the highest month ever for young adult viewers, but it also helped thenow completed 2006-2007 season become the highest rated ever in the Network's history. Programminghighlights during the third quarter include the finale of our breakout hit,Design Star. Nearly four million women watched Kim Myles become this year'sDesign Star winner. Now, that's morewomen watching a single HGTV program than any other prime time series in the Network'shistory. But Design Star really doesn't tell the whole story of the network'srating success. Other new seriesthat launched in the wake of Design Star, shows like Deserving Design, Color Correctionand Find Your Style, all garnered strong ratings. Now, we'reexpecting even bigger and better things now that Jim Samples is on board asHGTV's new President. Admittedly, he's got a tough act to follow, succeedingJudy Girard who really has done an outstanding job adding a whole new dimensionto HGTV's programming. On the FoodNetwork, hot prime time shows like Ace of Cakes, Dinner Impossible and Throwdownwith Bobby Flay are driving 20% to 30% ratings increases for their respectivetime slots over the prior year. On September 8th,the finale of Alton Brown's Feasting on Asphalt II attracted more than onemillion viewers. Now, that was more than double the households that tuned induring the same time slot just a year ago. Food Network hasdone an exceptional job establishing a solid prime time audience. In fact, thethird quarter was the highest rated, most watched quarter in the Network's history. Plus, Food is atop ten network for women in the 25 to 54 demo, both in primetime and totalday. Now, there has been a little slippage in Food's daytime ratings as I'msure you're well aware, but we're actively working to reverse that trend bydeveloping new talent and creating new programming and improving current shows. We're alsoplanning an off air media campaign that will parallel on-air promotions thatwill highlight our in the kitchen block of programming. The campaign's focuswill be on the programming improvements that we're making and we're excitedabout it. In our newernetworks, the focus has been on securing carriage and greeting new viewers withquality programming. All of our newer networks, DIY, Fine Living and GreatAmerican Country, are either at or near the 50 million household range, whichfrankly really exceeds our early expectations for these networks. In each of ournetworks has a growing cadre of loyal viewers. DIY, for example, got its usualhigh marks in Beta Research’s latest digital cable subscribers study. The Networkranked number two among adult viewers with household incomes of $75,000 or moreand it was number two among viewers for overall satisfaction. Ratings growth wasencouraging to DIY in August and September led primarily by a new series weintroduced called Blog Cabin. Now, we're taking advantage of the audience thatwe're building and with this popular new program by giving ad exposure in thefollowing time slots to other promising shows, which include DesperateLandscapes, Man Cavesand Under Construction. Now, over at FineLiving, we're welcoming new viewers with great programming including the MarthaStewart Show, which airs the day after its syndication debut. In anotherprogramming arrangement with Martha, Fine Living next month will begin carryinga best of compilation series called Martha Stewart Crafts. And finally, GreatAmerican Country, we have the exclusive TV premiere of Garth Brooks' new musicvideo, as well as a line-up of Garth centered specials this month and next. Clearly, we'recreating plenty of momentum at our newer networks. We're also buildingconsiderable momentum on the interactive side of Scripps Networks. The 31%growth and interactive advertising revenue that we reported today is a directresult of the success that we're establishing at Scripps Network's interactivedivision, which is our leading destination for useful and entertaininglifestyle content. Here are just afew of the highlights from the past three months. During September, FoodNetwork.com marked its 15th consecutive month as Nielsen's top-rated website inthe food and cooking category. The site attracted an average 8.2 million uniquevisitors during the month, its highest September on record, up 27% from theyear before. Food Network'son-line success is also rubbing off on Recipezaar which as you recall, we addedto our interactive portfolio in July. Since integrating the website with ourother on-line businesses, Recipezaar's unique visitor count is up a whopping78% and page views of have more than tripled over where they were just a yearago. Also Food Networkrelated, we've deepened our on-line relationship with Rachael Ray with a dealthat allows our ad sales group to sell placements on her website for a share ofthe ad revenue. We're also seeingplenty of growth at our other websites. DIY Network attracted 37% more uniquevisitors during September than the same month a year ago. And nearing thequarter, HGTV.com averaged more than 4.4 million unique visitors a month. Scripps Networksis establishing itself as the undisputed leader in lifestyle content both ontelevision and on the Internet. Scripps also hasestablished itself as a leading competitor in on-line comparison-shopping withShopzilla in the United Statesand uSwitch in the U.K.At both businesses, which are the foundations for Scripps interactive mediadivision, we're adapting to the changes in the competitive landscape that haveaffected results for the first three quarters of this year. While energyswitching remains weak at uSwitch, we saw some positive trends building atShopzilla as the period grew to a close. Net revenue growth at Shopzilla was inthe double digits in September, indication that we're getting a lot moreefficient at acquiring paid traffic and are making solid progress building upthe free traffic side of the equation. That trend, I'mhappy to report, is continued into October, which we believe bodes very wellfor Shopzilla for the balance of this year. On another positive note, Shopzillamarked its sixth consecutive month in September as the nation's top comparisonshopping site on a unique visitor basis. That's allencouraging news for Shopzilla as we look forward to 2008. Over uSwitch in themeantime, we're looking at a return to profitability by paring down costs towhere we're moving more in line with the lower switching activity that we'reexperiencing. Turning now to ourlocal media businesses, both our Newspaper division and our Television Station Groupdid a tremendous job controlling expenses in a very difficult local advertisingenvironment. Total revenue andsegment profit at our newspapers declined during the third quarter; however,largely because of the impact that slumping housing and employment markets havehad on our newspapers in Floridaand in California. Also on-linerevenue at our newspapers grew at a very healthy pace up 19% year-over-year. At our televisionstations, we're truly looking forward to robust political advertising in 2008;as anticipated, third quarter results at our local stations reflected therelative absence of political compared with the record year that we had in2006. We saw some improvement in local and national advertising, but thoseresults were tempered somewhat by softer automotive than we hoped for. Let me emphasizethat we believe strongly in the long-term viability of our local markets. The currenteconomic environment notwithstanding, we believe there's great potential forfurther growth in the communities where we operate local media businesses,particularly in Florida and in California.Our focus for now is operating our local media businesses as efficiently aspossible. And finally,before I turn it over to Joe, let me give you just a quick update on theseparation plan that we announced last week. We've been quite busy since makingthe announcement on preparing our SEC and our IRS filings. We've also appointedan internal transition team and teams actually that will soon begin naming teammanagers at both companies. At this very earlystage of the process, we're on track to complete the transaction in the secondquarter of 2008. With all of that, let me turn it over to Joe.
Joseph NeCastro: Thanks, Ken. Goodmorning, everyone. As we reported this morning, we had a very solid thirdquarter. After backing out the gain on Cityfeet, an investment we sold duringthe quarter, we beat the high-end of our forecasted EPS range by about $0.06. Cityfeet by theway was one of several interactive investments we made a few years ago that wedetermined were not core to our holdings. As for thequarter, the strong financial performance at Scripps Networks made thedifference. Ad sales tied to improved HGTV ratings, a solid prime time at Foodand a strong scatter market for all of our networks pushed total revenue wellpast our expectations. We also got a nice boost from the robust growth inon-line advertising. Looking ahead, wehad a very successful up-front this year with rate increases in the mid-singledigits even after the C3 conversion. Altogether, I'd say that all systems arego for our cable networks. As for other businesses,we're working through some challenges. At our newspapers, we're contending withweak local and classified advertising, as are all of our peers. All classifiedcategories are under pressure, but it is particularly acute in our Floridaand California markets, which arefeeling the full effects of the weak housing market. Here is a littlemore detail. Real estate classified revenue for our newspapers was down 18% andemployment was down 19%. Automotive was a little better, but not much, down 16%during the quarter. As Ken pointedout, our publishers have done a good job at keeping costs down. Newspaperexpenses were down about 4%, thanks in part to a voluntary separation plan weimplemented in the second quarter. Our newspapers also benefited from fallingnewsprint prices and overall lower newsprint usage. Our newsprint expenses weredown 20% in the third quarter. In our Station Group,the quarter played out pretty much as expected. Local and national advertisingwere up, but not as strongly as we would have liked because of the softness inthe automotive category. Otherwise, thelower revenue and segment profit can be attributed to the difficult comparisonwith last year's record political advertising. As for ourinteractive media division, we're cautiously optimistic that we're seeing aturning point at Shopzilla. Net revenue--that's revenue net of our on-linemarketing costs--grew by more than 10% in September and the trend looks evenstronger for the current month and for the balance of the year. Net revenue isan important metric because it reflects our ability to efficiently generatetraffic, both paid and free. The uSwitch,however, weakness in energy switching has persisted. In response, we reducedour headcount there and our other expenses. Even with the lower level ofswitching activity, we believe uSwitch can and will be profitable in 2008 bylowering our cost structure. Turning to ourguidance for the fourth quarter, it’s all pretty much spelled out in the pressrelease so I won't go over all of the numbers here on the call. I would like toemphasize two points, though. First, we're anticipating double-digit revenuegrowth at Networks will continue through the last quarter of the year, ensuringthat the full year will achieve our very high expectations for the business. Second, the earlyindications are that we'll finish the year strongly at Shopzilla and we'll hitour full year segment profit forecast for Scripps interactive media. Finally, let me bringyou up-to-date on some non-operating items. Company continues to generatesubstantial free cash flow, so debt at the end of September was down to $606million compared to $766 million at the end of the year. Because there'sless debt on the balance sheet, interest expense for the third quarter was down41% to $9.1 million from $15.3 million during the same period last year. We'restill expecting interest expense for the full year to be about $37 million. Capital spendingthrough nine months is up to about $79 million compared with $49 million at thesame point in 2006. As we mentioned at the end of the second quarter, thedifference is attributable to capital we're using to expand Scripps Networksheadquarters in Knoxville; toupgrade our TV station's capabilities to broadcast high definition newscasts,and for software development in our interactive companies. We're alsospending some money in preparation for construction of a new newspaperproduction facility in Naples, Florida.All in, we're still expecting capital expenditures on the year to be between$110 and $125 million. As for our share repurchase program, we spent about $27million to buy back our own stock. We repurchased about 650,000 shares duringthe third quarter at an average price of around $42.13 a share. And with that, weconclude our prepared remarks and operator, we're happy to take questions.
Operator: (OperatorInstructions) Our first question or comment comes from the line of Alexia Quadranifrom Bear Stearns.
Alexia Quadrani- Bear Stearns: Thank you. Acouple of questions, first, on the changes you've made in the day part at FoodNetwork. When do you think you might see some traction from those changes,maybe some improvement in ratings there? And second question is on uSwitch, Iknow you made a move into some new verticals in uSwitch earlier in the year.When do you think you'll see some benefit from that as well?
John Lansing: I'll take thefirst one. We're very busy right now at Food Network, investing both in newtalent, acquisitions, as well as programming concepts, as well as newprogramming for existing series that have been successful in the past, as wellas adding marketing support and I anticipate that we would begin to see thatimprovement in the first quarter.
Richard Boehne: On your questionabout uSwitch, yes, uSwitch has expanded into some other verticals and hasfound a lot of traction there and those results are pretty good. The problem isat the same time the core energy market continues to be very weak so we'rereally kind of hunkered down at the moment just trying to conserve our capitaland be careful about how we expand there. But long-term, wehave one of the very strongest brands in the United Kingdom. The market is very strong overthere. We have a very good management team. And we think those other verticals--personalfinance, car insurance and the others--will continue to grow in advance underthat uSwitch brand.
Alexia Quadrani- Bear Stearns: Just so Iunderstand it correctly in uSwitch, it’s really I guess the weakness is morebecause of the pricing environment among the utility providers is not overlycompetitive right now more than the function of how you on uSwitch ispositioned, is that fair?
Richard Boehne: That's absolutelycorrect. uSwitch is positioned very well, but the energy prices are down andthere is not a lot of energy switching. At the moment, that's the core productso hence the weakness that you're seeing.
Alexia Quadrani- Bear Stearns: And then just onelast question on the newspaper side of the business. I know you don't reportmonthly numbers, but could you give us a sense how newspapers may be trended inthe quarter. Did you see a dramatic drop-off as the quarter progressed or is itpretty evenly across the quarter?
Mark Contreras: It was really kindof a market-by-market phenomenon. I can't tell you that there was a trenddownward as August and September trailed off. The only trend that may be ofinterest is expenses continued to come in strong and we anticipate that trendgoing into the fourth quarter as well. I'm reluctant to give any visibility inthe fourth quarter at this point.
Operator: Our next questioncomes from the line of Mr. John Janedis from Wachovia.
John Janedis -Wachovia: Hi, thank you.Good morning. A couple of questions. One is, maybe to pile on a little bit. Canyou talk more about the reduced on-line switching activity, uSwitch? Should welook at that as a permanent shift? And what's the catalyst to increaseswitching given the competitive environment?
Richard Boehne: The catalyst wouldbe raising energy prices in the United Kingdom.That's the core issue right there. It’s not anymore complicated than that.Energy prices have been flat-to-down over the past now almost nine months. Andthat has really reduced switching activity. It’s really not anymore complicatedthan that. We feel and alwayshave felt based on the due diligence we did that long-term energy prices willincrease in United Kingdomand in Europe and should be a very robust market, but itis very volatile as being demonstrated over the past nine months. So, we'reconfident it will come back. But when is a tough call at this moment.
John Janedis -Wachovia: Okay. And thenjust from the cable side, how do you feel about the scatter market todayrelative to maybe your second quarter call and have you felt any kind ofpositive impacts from any make-up situations from the networks on broadcast?
Richard Boehne: I'm sorry. Onbroadcast?
John Janedis -Wachovia: Are there any make-upsituations in the broadcast network side that are helping you, specifically?
Richard Boehne: The answer to thatis yes. There are some under-delivery issues with the major broadcast networksthat are eating up a lot of inventory and then creating opportunity for cablenetworks, ours in particular. We're continuingto see the same strength that we saw in the third moving into the fourth. So,we're seeing scatter versus scatter pricing up in the 9% to 10% range andscatter versus up-front in the 25% range and continue to see that goingforward.
John Janedis -Wachovia: Great, thanks. Andquickly, Joe, just on the tax rate, can you give us a sense of the fourthquarter?
Joseph NeCastro: Let me dig thatout, John. I'll break back in when I have it.
John Janedis -Wachovia: All right, thanks.
Operator: Our next questionor comment comes from the line of Mr. Peter Appert from Goldman Sachs.
Peter Appert -Goldman Sachs: Thank you,follow-up question for Mark. Mark, you reported and some of the otherpublishers have reported notable improvement in the national category. Can youjust talk a little about what's driving that and the sustainability of that?
Mark Contreras: Peter, a largepart of that is because we made an investment in January to wrap ourselves ineffect with three people dedicated to selling both print and on-lineadvertising. So, while we've had some categories kind of help us organically,much of that increase was attributable to the fact that we put some elbowgrease into it. And our returnfrom that investment is more than two to one at this point, in terms of dollarsspent for revenue generated. Because we're finding that there is a lot ofrevenue out there if you can put on-line revenue in one package and nationalprint in one package to really focus on it. It is a small category for us.
Peter Appert -Goldman Sachs: Sure. So, it isnot category specific.
Mark Contreras: No. It’sattributable to the extra resources, we dedicated to it.
Peter Appert -Goldman Sachs: Okay and thankyou. And then on related question, I guess for Ken. There's been quite a bit ofvolatility in the profitability of the interactive segment since you boughtShopzilla. I'm wondering ifyou could just give us help in terms of understanding, where you think itsettles out, in terms of what kinds of margins are achievable or sustainable inthis business in '08 and beyond?
Kenneth Lowe: A firm grasp ofthe obvious; there has been a lot of volatility. You know, on the Shopzillaside, some of that volatility has come from increased competition from some ourretail partners and the whole pricing structure of keyword marketing, all ofthe things you know. But I think, thetake away is even with the management change, we've come through in pretty goodshape, all things considered and I'm very impressed with Bill Glass and histeam and how though have adapt and continue to continue to adapt to this changein market place. And as you heardin my remarks and Joe's, we're feeling very good about where we are withShopzilla right now and our ability to adjust to the competitive environment.Rich talked a little bit about uSwitch. We’ve got a great management team thereunder Andrew Salmon. So, while there isvolatility in these businesses, we have said all along we knew that going in.Not a lot different in the early days of when we were launching the cablenetworks. And we would be on calls of this nature and talking about the ups anddowns of where we were with the growing new business. As far aslong-range and looking at margins, I think at this point, I would pass on thatonly because we need to get a little bit more into '08 to get a better feel forhow these businesses are really shaping up.
Joseph NeCastro: With respect toJohn Janedis' question, we expect that the tax rate in the fourth quarter to beup some from the third quarter and there were some positive adjustments. And the rate hasbeen up and down. We expect the full year effective rate to be somewherebetween 31%-31.5% so you can kind of derive what the fourth quarter rate oughtto be.
Peter Appert -Goldman Sachs: And is that thesame rate you think in '08, Joe?
Joseph NeCastro: It is early tothink about that. It could be up just slightly, but I think it will be in thesame ballpark.
Operator: Our next questionor comment comes from the line of Mr. Joe Arns from Banc of America.
Joe Arns - Bancof America: Yes. Good morning.It looks like even if I take out the effective lower newsprint cost figure, yournewspaper costs were down about 2% to 3% in the quarter, is it possible tosustain this level of cost reduction going forward? And if so, where can youtake out costs for which you are going to propose the separation plan. Then secondquestion, can you tell us how much your revenue at Food Network and HGTV comesin primetime? Thanks.
Mark Contreras: I'll take thenewspaper expense question. We're being very disciplined about where, when andwhy we spend money. We're going to spend money in three areas: to grow ourInternet business, to grow our local retail territories and to grow our nicheproducts. Beyond that, we'retaking a look under every rock for ways to reduce expenses. The reductions thatwe've had so far in the third quarter represent about a 6% net reduction inFTEs to the extent that we add anybody, it is going to be to fill those threerevenue areas and we are looking enterprise-wide at looking at functions thatwe can centralize or outsource. So, I guess theshort answer to you is that we're committed to keeping our eye very closely onexpenses, because it is a necessity at this point in the cycle of our business.We do think that the investments in those three other areas do have a returnand that's why we're going to keep continued spending on those. But our plan is tolook for the foreseeable future with expenses net, net, net down, and excludingnewsprint, obviously because of the fluctuations there. Hope that's helpful.
Kenneth Lowe: Yes and Joe, onthe revenue-related to primetime, really depending on the network, depending onthe quarter, it would fall within a range of 30% to 40%.
Operator: Our next questionor comment comes from the line of Mr. Craig Huber from Lehman Brothers.
Craig Huber -Lehman Brothers: Yes, good morning.A few questions, first one, just to go back to just recently, you announcedyou're breaking up the company. Can you just discuss the Scripps family trust.Are there any restrictions in there that prevent you in the future perhaps fromselling the cable network interactive sub company in the future?
Joseph NeCastro: I tell you what wedo know. After the split, we will have identical capital structures. The trustwill continue to control both companies. What we know about the trust and itsrestrictions is that it must control a company called E.W. Scripps Company andit will continue to control that company. That company mustbe in the newspaper business, which obviously it will continue to bepost-split. We're not making any assumptions about it but we don't anticipateany restrictions on the trust with respect to the other company.
Craig Huber -Lehman Brothers: Okay. Then alsojust a few nit-pick questions. 2008 CapEx just in light of the one-time itemsyou're talking about this year, and also newspaper costs, you mentioned in yourguidance fourth quarter, newspaper costs would be down slightly. I believe in thethird quarter is down 5%-5.5%, looked like the comparison is pretty identicalyear-over-year. Why the slowdown? Is the mixture in investment spendingperhaps, going on in the fourth quarter?
Kenneth Lowe: 2008 CapEx, wehave not finalized budgets. I would anticipate that, on a consolidated basis,they could be similar to this year because the significant bulk of the Network'sexpansion expenses will be next year. And then Napleswill also kick in much more significantly next year. So, I wouldn't besurprised to see '08 to be of a second large year in a row. Beyond that, Iexpect, on a consolidated basis again, they would fall off significantly afterthat. Probably down to half, to that level. And your second question was on?
Craig Huber -Lehman Brothers: Overall newspapercosts.
Mark Contreras: The biggest chunkthere obviously is going to be newsprint pricing and usage and that's what isdriving much of that. In addition, we're going to hold the line on FTEs, we'redown about 300 FTEs, which is about 6%. That will continue largely into thefourth quarter. We'll have some spending on Internet marketing and executing ofthe Yahoo deal, but those are the major drivers of our expenses for the fourthquarter.
Craig Huber -Lehman Brothers: And then lastly,if I could, just concerning the up-front market for cable networks, can youjust give us a sense of what the ratings guarantee percent change that you'veguaranteed your advertisers for this new year?
Kenneth Lowe: You know, I wouldrather not get into this specific ratings guarantees other than to say that weenjoyed a pricing increase going into next year of double digits once you countthe C3 effect, 5% and 6% on top of the C3, but in terms of the actualguarantees, I would rather stay away from that, Craig.
Operator: Our next questionor comment comes from the line of Mr. Fred Searby from J.P. Morgan.
Fred Searby - J.P.Morgan: Thank you.Congratulations on the quarter. I had a couple of questions. One, could youbreak out whether you saw any revenues from the Kohl's deal and where that'sgoing, to what line item that's going into. I don't know if that's in the FoodNetwork. Secondly, Foodratings were weak this quarter and HGTV's were stellar. I follow them. I'm justcurious as to why they had the same revenue growth. That surprised me. Iexpected HGTV to have very strong, but I was surprised by how strong Food was. If you could giveme more color on why there seems to be a parity in spite of the fact that HGTVis not going to cover up the bone; it’s a little bit of lackluster. And thenthe Comcast deal you struck on affiliate fees; affiliate fees were up nicely at23%. Did that go into effect in the quarter and is that helping to boost it atiny bit?
Kenneth Lowe: Let me start withComcast. We were accruing that revenue from Jan 1 throughout the year assumingthe completion of the deal, Fred. As far as revenue HGTV and Food, both, if youlook at primetime, both networks had a stellar quarter. In fact, both hit alltime highs in primetime. Both airing theirsignature series, next Food Network Star and Design Star and our ad sales grew,did an unbelievably great job monetizing those projects both on air andon-line. And as you know, our on-line revenue flows through the P&L of thenetworks themselves. So, we had a greatdeal of positive momentum driven through prime time during the quarter. AndHGTV was fighting back somewhat. If you recall, we were in a bit of a hole inthe second quarter with HGTV daytime. And so, we werefighting back HGTV daytime in the third quarter and thanks to the great work atthe brand, they were able to turn that around. But some of the inventory in thethird quarter was used to make good some of the guarantees from the secondquarter and that would have a balancing effect on the daytime of both HGTV and Food. And then as far asthe Kohl's revenue, that flows through the Food Network, P&L through otherrevenue.
Fred Searby - J.P.Morgan: Ok. I didn't evenlook at what the other was in Food. But was that material and should we expectthat to pick up going forward?
Kenneth Lowe: It is early. Notyet material. But by the way, the sales at Kohl’s have been really good and infact, we're told by our partner at Kohl's, we're 15% ahead of their expectationsquarter-to-date and so, we're very optimistic about where that will go.
Fred Searby - J.P.Morgan: One more question.So, it sounds like the parity was a little bit due to make goods at HGTVrelated to prior softness in the daytime ratings. HGTV should have a much, muchstronger than Food given where things are tracking right now for the trendsgoing into the fourth quarter I would assume. So, we should see that disparitywiden, right?
Kenneth Lowe: Well, there's onemitigating effect. Generally, that would make sense. The one mitigatingpositive effect is that the fourth quarter is typically Food Network'sstrongest quarter. Because of the holiday season, it really goes hand-in-handwith programming on Food Network and our ratings--even our daytime ratings,which admittedly we’re still working up out of some areas where we have someissues--but they will, without question, be the strongest of the last threequarters during this year's fourth quarter, based on just the traditionaltrends. So, generally,what you're saying is true although I would only say it would be mitigated bythe general strength of Food Network in the fourth quarter even in a down year.
Operator: Our next questionor comment comes from the line of Mr. Thomas Rousseau from Rousseau Gardner.
Thomas Rousseau- Rousseau Gardner: Great news and twoquestions. Joe, as it relates to Shopzilla, you mention that the net revenuewas up 10%. It was a balance between the mix shift between purchase and freeand I wonder if you can describe those components a bit more?
Joseph NeCastro: Yeah, Tom, wehaven't generally given the split up between the two, but I will tell you thatwe're getting a lot more effective in our keyword buying and I think we've beenable to be a lot more efficient. We, earlier in theyear expanded our capability to bid on a much, much larger quantity of namesand we worked through that and as we have pared that back down, we've been ableto get, we've been able to get a lot more efficient and smarter about what webuy and what we pay for them. The free trafficon the other side is up over 20% year-over-year. We feel really good aboutthat. A lot of the initiatives they've been spending money on through sitedevelopment have been centered around the user experience and getting in to bemore of a choice, a destination, if you will. And I think that's starting topay off handsomely.
Thomas Rousseau- Rousseau Gardner: Ok. So and thatfree traffic which is what you were hoping for initially is starting to panoff.
Joseph NeCastro: Yes, it is.
Thomas Rousseau- Rousseau Gardner: Good. Mark, couldyou bring us up to date on your end of the roll-out with the Yahoo consortium,whether anything has yet surfaced and then independently, how your digital isworking away from the national category, which you discussed, succeeded becauseof staffing that you put on that task. How is it goingacross the other categories in terms of staffing and the effectiveness of yourin-house Internet ad sales efforts and what's happening with Yahoo?
Mark Contreras: I'll start, Tom,with the Yahoo deal. We've got two batches of papers, one batch that went intothe Yahoo co-branded site in December, the other that went into the summer.When you look at their year-over-year performance in terms of page views, abouta 7 to a 10 point improvement after versus before. The Yahoo deal clearly hasdone good things for us. I just took a lookat this. If you took all of the job listings in our markets and you looked athow many just the Newspaper had, how many Hot Jobs had, how many Career Builderhad, how many Monster had and you threw them all into a bucket, duplicated. The Hot Jobs/Newspapergroup is about equal to the combination of Monster and Career Builder, at leastin our market. So, that, to me, also is another important guidepost that thedeal is positive for us.
Thomas Rousseau- Rousseau Gardner: And is that marketshare bigger now that you've joined the Hot Jobs’ effort or was that thehistoric relation of Hot Jobs against the newspaper or Career Builder and Monster?
Mark Contreras: I don't know theanswer to that question.
Thomas Rousseau- Rousseau Gardner: Okay.
Mark Contreras: But I do know whenwe're combined with them, it is a powerful partner to have. We knew going inthat they had significant traction but their traction has grown as a result oftheir affiliation with us as well. And in terms of just generally, our on-linebusiness, we're happy with the traffic. We're happy with the audience we'regenerating. Again, just acouple of anecdotes. The impressions that we're serving are up 60% as the CPMsthat we're getting for those banner advertisements are up 90% again Q3 versusQ3. So, in general, we're very happy with our on-line business overall. Andit’s becoming an increasingly big part of our business. It is about 10% to 12%of our profit.
Thomas Rousseau- Rousseau Gardner: Already?
Mark Contreras: And about 8% ofour ad revenue, so, we're generally very happy.
Operator: Our next questionor comment comes from the line of Mr. Paul Ginocchio from Deutsche Bank.
Paul Ginocchio- Deutsche Bank: Thanks, a questionfor Joe. As you generate cash over the next couple of quarters, the secondquarter, can you just talk about what you'll do ahead of the split. You justpay down debt if you can pay down debt or just build cash. Thanks.
Joseph NeCastro: Sure, Paul, we'regoing to continue to do what we've done in terms of, continue to buy backshares under this program that we've initiated. In fact, we're going back tore-up in a couple of weeks at the next board meeting. So, that willcontinue. We will use the excess cash to pay down debt if possible, but I thinkwe're going to have a fair amount of capital spending in the fourth quartercertainly on some of these projects maybe in the next year. So, I don'tanticipate a significant reduction in debt between now and then.
Paul Ginocchio- Deutsche Bank: Okay. So, you canbuy shares right up until the split.
Joseph NeCastro: Yes.
Operator: (OperatorInstructions) Gentlemen, I'm showing no additional questions or comments in thequeue at this time.
TimothyStautberg: Thank you, operator.I will be available this afternoon if you should have further questions. Thenumber is 513-977-3826. Otherwise, thank you for your participation today andhave a great day.
Operator: Ladies andgentlemen, this does conclude our conference for today. Everyone have awonderful day.